Operator: Good afternoon, ladies and gentlemen, and welcome to the First Quarter 2012 Hecla Mining Company Earnings Conference Call. My name is Chris and I will be your conference moderator for today. Presently, all participants are in a listen-only mode. Later we will facilitate a question-and-answer session. (Operator Instructions) At this time, I would now like to turn the conference over to your presenter for today, Mr. Jim Sabala, Senior Vice President and Chief Financial Officer. Sir, you may proceed.
Jim Sabala: Thank you very much, operator. Welcome everybody and thank you for joining us for Hecla’s first quarter 2012 financial and operational results conference call. Our new release that was issued this morning before market opened and today’s presentation are available on Hecla’s website. In addition, Hecla issued another release today declaring its third consecutive silver price-linked dividend on common stock and a stock repurchase program. On today’s call, we have Phil Baker, Hecla’s President and Chief Executive Officer; myself; Larry Radford, Hecla’s new VP-Operations; and Dean McDonald, Vice President of Exploration. On slide two, I set forth the cautionary statements slide. Any forward-looking statements made today by the management team come under the Private Securities Litigation Reform Act, as shown on slide two. Such statements include projections and goals, which are likely to involve risks detailed in our various SEC filings and in the forward-looking disclaimer included in the earnings release and at the beginning of the presentation. These risks could cause results to differ from projections. In addition, in our filings with the SEC, we are only allowed to disclose mineral deposits that we can economically and legally extract or produce. Investors are cautioned about the use of such terms as measured, indicated, and inferred resources and we urge you to consider the disclosures that we make in our SEC filings. And with that I would like to pass the call to Phil Baker, Hecla’s President and Chief Executive Officer. Phil?
Phil Baker: Thanks, Jim. Hello, everyone. I’m glad you could join us today. I’m going to provide a brief overview of the first quarter highlights. Jim will speak about our financial results. Larry is going to provide an operations overview and then Dean will give an update on a couple of our exploration, predevelopment programs and then we’ll take questions. This most recent quarter, which if you look on slide three, we made excellent progress in the rehabilitation of our Lucky Friday mine, progressing with the clean-down work down to the 1,500 foot level so far that’s about 25% of the total. At Greens Creek, while production was impacted due to support work that took place, we expect to meet our full-year targets as production and throughput increase through the remainder of the year. Meanwhile, our record 2012 capital investment in our Greens Creek mine continues. During the first quarter, our margins remained very strong. Cash operating costs were $2.24 per ounce silver, still among the lowest in the industry. Operating cash flow was a healthy $41 million. We also advanced all three major exploration and predevelopment projects targeting additional reserves in development into future production. And these are all at 100% owned Hecla properties. In addition to Green’s Creek at the Star Complex in North Idaho’s Silver Valley, at the San Juan Silver project in Colorado, remember we have a majority of that or at least half of that land packages are 100% owned and that’s what we’re focused on and then at San Sebastian in Mexico. The amount we spent in the recent quarter on these projects is three times that of a year ago, in fact it was just a year ago that we announced the efforts we were making on these predevelopment projects. These represent a large part of the future growth of the company and all are in North America, which we think provide investors with lower political risk. Hecla’s financial position with $279 million in cash and effectively no debt along with our very strong diversified long-lived asset base are the healthiest in the company’s 120-year history. We continue to be the lowest cost primary silver producer in North America, and with ongoing positive silver market fundamentals we expect to continue to generate strong cash flow. We’ve strengthened our management team in the quarter with the appointments of Ed Sutich as Vice President and General Manager of the Lucky Friday. We’ve moved John Jordon into the Corporate Office as Vice President of Technical Services. And we’ve added Michael Wegleitner as Director of Health and Safety. These guys are seasoned mining professionals that have 88 years of experience. And as you know, this is a challenging time in the mining industry to get good talent, so we are very pleased that we’ve added these individuals to Hecla. And we’re confident in their ability to deliver on our continued and relentless focus to have the highest levels of safety, planned mine development and expected silver production increases. If you go to slide four, we’ve had another good financial quarter at Hecla. Consequently, we’re pleased that the Board of Directors has declared the third consecutive quarterly dividend. This quarter’s dividend is $0.0225 per share, which consists of $0.02 that is related to our silver linked dividend and that’s based upon an average realized price in the first quarter of $36.59 and then a quarter cents that’s associated with the $0.01 annual dividend per common share that we pay quarterly and this would result in the payment of about $6.4 million. Jim will spend a little bit of time talking about how our average realized price ended up being $36.59. Now this policy represents a 2.3% yield based on our closing price of yesterday. The board’s action to declare the third consecutive silver-linked dividend along with the continuation of our quarterly dividend reiterates Hecla’s excellent operating margin and strong financial position. This allows our shareholders to continue to benefit from our strong cash returns as well as higher silver prices in this positive metals market. Going to slide five, the Board of Directors has also approved a stock repurchase program. Under the program, Hecla is authorized to repurchase up to 20 million shares of our outstanding common stock from time to time in the open market or privately negotiated transactions depending upon prevailing market conditions and other factors. This repurchase program may be modified, suspended or discontinued at any time. Our plan is to buy these shares over the course of the next 24 months. I want to add that we believe our cash balances and ongoing cash flow generation allows Hecla deliver shareholder value in three ways. First, by growing production by 50% over the next five years, second, paying dividends and third repurchasing shares. And with that, I’ll turn the call over to Jim to talk about our financial performance.
Jim Sabala: Thank you, Phil. With metal prices comparable to last year’s prices, the company generated excellent cash flow during the quarter in spite of lower silver production, which was impacted by the Lucky Friday clean-down and Q1 rehabilitation activities at Greens Creek. On slide seven, realized silver prices in the first quarter of 2012 was $36.59 per ounce, compared to an average market price of $32.62 per ounce, consistent with average realized prices in the year ago period of $36.49. As Phil mentioned, I talk a little bit about the reason our realized price was higher and that’s due to the fact that metals prices were higher than in the previous quarter resulting in positive adjustments to provisional settlements of $6.1 million, compared to net positive price settlements to provisional settlements of $7.2 million in the same period of 2011. The adjustment to provisional settlements is due largely to increases in prices in the time period between the shipment of concentrate and the final settlement. The provisional price adjustment of $1.6 million related to zinc and lead contained in our concentrate shipments was largely offset by net losses on forward contracts of $1 million for those metals since we do hedge the provisional on our non-precious metals. Total revenues as shown on slide eight was $91.2 million, generated through production from Greens Creek. The breakout of revenues by metal is shown on the chart on slide seven. But generally, you can see that nearly 70% of our revenues came from precious metals with the balance from lead and zinc. Margins and cash costs remained very strong at Hecla. Slide nine shows our strong margins. First quarter silver cash cost net of byproduct credits was $2.24 per ounce, compared to $1.03 per ounce in the same period of 2011. The higher cash costs were largely due to lower silver production, as a result of the rehabilitation work at Greens Creek during the first quarter. Our cash flow remains strong. With strong metals markets and low operating costs at Greens Creek, operating cash flow in the quarter was $41.4 million, shown here on slide 10. Net income applicable to common holders for the first quarter as shown on slide 11 was $12.4 million or $0.04 per share, compared to $43.2 million or $0.16 per share for the same period a year ago and was impacted by the following items. As mentioned, exploration and predevelopment expense increased to $9 million in the first quarter from $3.3 million in the same period in 2011 for exploration work at Greeks Creek, the company’s extensive land package in Durango, Mexico at the San Juan Silver project in Colorado and in North Idaho’s Coeur d’Alene Mining District near the Lucky Friday mine. $6.2 million was incurred in suspension related costs at Lucky Friday. There was a $5.2 million loss on our base metals derivative contracts for the first quarter, compared to a $2 million loss for the same period in 2011. There was a $7.3 million tax provision, compared to $23.5 million in the same period in 2011 strictly as a result of higher pre-tax income in 2011. Our effective income rate tax rate to-date is approximately 37% in 2012, compared to 33% for the same period of 2011. As mentioned earlier, we had gains of $6.1 million on provisional price adjustments compared to $7.2 million in the same period of 2011. Our predevelopment expenditures totaled $3.4 million in the first quarter of 2012. Predevelopment expenditures in 2012 are expected to be approximately $11 million for infrastructure at the Star mine in the Silver Valley, at San Juan Silver joint venture property in Creek, Colorado, the San Sebastian property in Mexico. This level of predevelopment expenditures may be modified during 2012 depending on the success demonstrated by these properties. Exploration expenditures for the first quarter were $5.6 million and for the year we expect them to be approximately $28 million. Capital expenditures at the operations totaled $26.4 million for the first quarter ending March 31, at Lucky Friday, the expenditures were $11.7 million and at Greens Creek were $14.7 million. Capital expenditures for 2012 are expected to be $140 million primarily due to an increase in the scope of work at Greens Creek as Phil has talked about earlier. We expect to be able to fund our planned future expenditures through our cash flow, our strong balance sheet and an untapped $100 million revolving credit agreement. As shown on slide 12 at the end of the first quarter, cash and cash equivalents stood at a healthy $279 million and we have no significant outstanding debt. And with that I’d like to turn the call over to Larry for a review of operations during the first quarter. Larry?
Larry Radford: Thanks Jim. Slide 14, silver production at Greens Creek in the first quarter of 2012 was 1.3 million ounces compared to 1.7 million in the same period in 2011. The decrease in silver production year-over-year was due primarily to grounds water work that diverted equipment and personnel away from production. The ground control maintenance was accelerated based upon third party advice and internal review. Immediate needs were addressed and additional resources were added. Going forward, two bulkers will be dedicated to ground control maintenance. Mining teams that were diverted to ground control have returned to production headings. We have returned to normal production levels. Mining and milling cost per ton were up by 37% and 18%, respectively in the first quarter compared to the same period in 2011 due to lower production as mill throughput decreased by 13%. The mining cost variance is also attributed to higher maintenance cost during the 2012 period. Cash costs per ounce of silver increased by $2.97 for the first quarter compared to the same period in 2011 primarily as a result of lower silver production increased cost by $4.71 per ounce, treatment and freight cost by $2.68 per ounce and mine license tax and other costs by $0.97 per ounce. The increase in production cost per ounce is mainly attributable to lower silver ounces produced due to the decrease in mill throughput and lower silver order rates. These factors were partially offset by higher byproduct credits of $5.39 per ounce due to higher average gold prices and higher zinc and lead order rates. On the capital front, work is progressing on our $90 million expenditure programs upgrading the mine, which includes the Deep 200 South development, fleet replacement and additions, tailings facility expansion, definition drilling and expanding and upgrading camp facilities. Greens Creek currently has reserves for at least 10 more years of very low cost operations and these expenditures are part of the mine plan to develop this great ore body. On slide 15, at the Lucky Friday mine, we made excellent progress in the restoration work taken place this year. Through the first quarter, all surface work needed for the rehabilitation project was completed including winches, generators and revised shaft colored structure. The Galloway was installed and we are now working from that structure. As of early May approximately 1,500 feet of restoration work had been completed, which is slightly ahead of plan. This work involves the removal of cementitious material along the main Silver Shaft as well as installation of a metal brattice between the east and west halves of the shaft, repairing shafts still and installation of a new power cable along with additional work, which is expected to improve the shaft’s functionality and possibly improve the shaft’s hoisting capacity. Work along the entire 6,100 foot shaft is expected to be completed in December. According to the plan submitted and improved by (inaudible) once restoration work is completed through the 4,900 level, which we expect to happen in the third quarter, work crews are expected to be brought back in for development work to prepare the mine for resumption of production. Operations in silver production are expected to resume in early 2013 when the work is completed as planned. Care and maintenance costs incurred at the Lucky Friday totaled $6.2 million for the first quarter of 2012. Slide 16 through 18 show photographs of recent work being done at Lucky Friday, including the man basket in the slide 16 used by the work crews, setting winches the for the Galloway, slide 17, which is a three deck facility as shown in slide 18 in the upper left photo. The shaft wall with the electrical cable shown in the upper right photo and looking down the shaft at the Galloway and brattice in the bottom photo. Again, the rehabilitation work is going very well, actually a little bit ahead of schedule at this point and we’re confident that work will be completed on time with improved mining facilities and ready to resume production on schedule this year. Slide 19 shows the work time table for completion of the Silver Shaft restoration. One of the key benchmarks will be the completion of rehabilitation work down to the 4,900 level at which point development crews will begin preparing the mine for resumption of production expected in early 2013. I’ll now pass the call to Dean for an overview of our exploration and predevelopment during the recent quarter.
Dean McDonald: Thanks, Larry. Exploration and predevelopment in the first quarter continued to advance targets at our four highly prospective North American properties. Of particular note on slide 21, drilling on the Equity Vein structure at the San Juan Silver property in Colorado continues to identify strong gold silver bearing (inaudible) and vein mineralization. The figure in the bottom left corner of slide provides a 3D view of the Equity infrastructure and location of the recent drilling of the Equity Vein from various drill stations underground. The longitudinal of the Equity Vein in the upper right corner shows the pierce points for drilling in 2012 and silver equivalent grade by thickness contours that define steeply plunging mineralized shoot that averages 200 feet of strike length and at least 400 feet down plunge, but it is open and on trend of a series of significant deep intersections from recent surface drilling that are located 1,200 feet down dip along the Equity structure. Those intersections, as seen in the lower left corner, include 0.3 ounces per ton gold, 21 ounces per ton silver, over 2.5 feet and 0.2 ounces per ton gold and 13 ounces per ton silver over 7 feet. It’s early in the program, but the steep plunging Equity Vein mineralization may represent a mineralized structure with more than 1,400 feet of vertical continuity. Crews continue the rehabilitation work on the Star 2000 around the shaft stations, the Star number four hoist room, and the Star number five shaft where a connection to the Morning number 511 level will provide secondary surface access. The company expects to complete a preliminary economic analysis on the project during the second quarter of this year. At the Equity, crews are continuing to rehabilitate underground workings, install utilities down the decline and develop additional drill stations to define new mineralized trends along both the Equity and Amethyst Veins trends. In the upper right of slide 22 is a longitudinal of the Andrea Vein near the San Sebastian in Mexico with contours reflecting the gold equivalent grades by horizontal width. Exploration and in-fill drilling in 2011 defined a 1.7 kilometer strike length of the vein with multiple high-grade zones. Drilling in the first quarter continues to extend the mineralized vein to the Southeast by an additional 500 meters and may have identified a new high-grade gold silver rich zone. Recent shallower drilling has shown in the lower left figure, we may have discovered the up dip extension of the vein north of a large fault, which opens a large near surface area for possible resource expansion. At the San Sebastian project, options for accessing the existing resources at the Hugh Zone and a new mine plan has been completed. At preliminary economic analysis is expected to be completed during the third quarter of this year. Hydrology and metallurgical studies are advancing on the Andrea Vein as drilling continues. This is a quick summary of the expiration and predevelopment activities this quarter. And with that I will pass you back to Phil for further remarks.
Phil Baker: Okay. Slide 23, I want to talk for a just a moment about the silver market. So if you go to slide 24, the recently released annual World Silver Survey in New York reiterated the strong market fundamentals underlying the silver market and the positive expectations for the coming year. One of the things that they said in their report that you can see that’s happened over the last few years is that the silver supply has gone up. About a quarter of the silver supply is scrap supply. What this means is that new mine supply is actually in balance with fabrication demand if you remove the investment demand from fabrication. So those two things are in balance. So it’s scrap and other above ground stocks that have to meet investment demand. GFMS has said that the increase in scrap supply is largely being supplied by people who are in just dire straits they have to sell. So the strong money is on the buy side of the trade. And I think because of the uncertainty in Europe and the rest of the world the continued technological demand for silver and the substitution of silver for gold as we’re seeing in the U.S. and around the world and that’s evidenced by the increased imports in Indian silver jewelry that the outlook for silver both in the short and the long-term is the best it’s ever been. And I recognize there’s going to be great volatility, but the trend is for more demand across the board, so we’re very optimistic about the silver market. Slide 25, in summary, we think Hecla is poised to benefit from these strong market fundamentals. We remain the largest U.S. primary silver producer with expected production of approximately 7 million ounces. With the reopening of the Lucky Friday along with our development projects in the pipeline, we fully anticipate production growth between 2013 and 2017. Hecla is North American focused in its operations exploration and development and offers a low risk profile. Having said that, we certainly look beyond North America for things that we might acquire. We are also among the lowest cost silver producers and the assets that we bring on will continue to be lower cost. Our current dividend is the third consecutive dividend that we paid. And we have a strong cash position and effectively no debt and with that we have the ability to do the stock buyback and yet still grow the business. We think we have some of the best silver assets in the market and we expect that market to be strong. And so with that, Chris, I’d like to open the line for questions.
Operator: Thank you. (Operator Instructions) Our first question comes from the line of Chris Lichtenheldt with UBS. You may proceed.
Chris Lichtenheldt: Good afternoon, everyone.
Phil Baker: Hi, Chris.
Chris Lichtenheldt: Hey. I just wanted to ask first, over the past few quarters we’ve seen some pressure on treatment and refining charges, I’m wondering if you can, maybe just give a little bit insight as to what the terms look like for you concentrate at Greens Creek even in terms of direction, or actually what you’re seeing in terms of refining changes, is there any color you can provide there?
Phil Baker: Yes, Jim, do you want to...?
Jim Sabala: Yes, there is two things. The zinc terms are coming in now, the zinc terms are actually a little bit better this year than we’ve seen in prior years. That’s a trend that’s being going over about over two, three years now since 2008. On the other side of the equation though, it has not been finalized, but we’re going to see lead terms to go up a little bit in favor of the smelter.
Chris Lichtenheldt: Okay. And some of the producers have publicly said they are seeing the refining charges linked to silver prices and as much as 10% to 12% of silver prices? Do you have any linkage like that going on or is there anything you can say about that?
Phil Baker: We do have linkage, Chris, and it’s not just silver prices and it’s been in our contract for a number of years. It’s actually based on the value per ton of concentrate and it moves both up and down within various ranges, but it applies to all accounts that we sell.
Chris Lichtenheldt: Okay maybe last thing I’ll ask on that, if we look year-over-year the number of dollars you are spending per ounce of silver produced, are we up 20% or is that – is there – any sort of broad brush you can give us there just so you can update the model a bit?
Phil Baker: The question you are asking is what – say that again?
Chris Lichtenheldt: Yes, the portion of your cash costs attributed to treatment and refining charges.
Phil Baker: Right.
Chris Lichtenheldt: All together per ounce of silver just to make it sort of simple year-over-year that’s up on the order of....?
Phil Baker: Look we can – what we can do is look at our – at the reconciliation and in that reconciliation we can do that math. Do you have...?
Chris Lichtenheldt: Actually I guess you guys provide that, don’t you?
Phil Baker: Yes.
Jim Sabala: Yes. The treatment charge was up $2.68 per ounce.
Phil Baker: Yes, this first period, but -that is of course reflecting the lower production that we had for the period.
Jim Sabala: Yes, In terms of our gross treatment charges, Chris, they were $17.7 million this quarter and they were $19.1 million last year and if you look at the volume of silver, well that’s not determinant because it’s priced on tons, it looks like it’s not quite pro rata, but pretty close.
Chris Lichtenheldt: Okay. Yes, that is helpful, that’s perfect, actually. Thanks. And then the last one I wanted to ask with Lucky Friday how is the optimization study going, is that on pause right now given the rehabilitation or you’re still working on that in the background?
Phil Baker: I’m sorry, I didn’t hear the question.
Chris Lichtenheldt: Sorry. The Lucky Friday optimization study that was underway before...
Phil Baker: Yes. We’re still working on that. With Ed coming on board, we’re taking the work that’s been done and we’re letting him have a hand in where it goes forward anything you want to add to that?
Larry Radford: Yes. There’s a couple of elements that we’re looking in to add. The work still ongoing, for instance one of the benefits of upgrading the Silver Shaft is the ability to add a third conveyance, a chippy hoist, which should be used to transport men and materials and would improve our efficiency so there’s a couple of new rankles that we’re looking at.
Phil Baker: And the other thing that’s happening is as we speak at surface there’s new surface faculties being constructed. You’ll remember those old offices that we had that we’re trailers, those are – have been destroyed and new facilities are going in.
Chris Lichtenheldt: Okay. So would we have any conclusions from the optimization study before you begin production again?
Phil Baker: I don’t know, we’ll have to see what the results of the study are to be able to tell you if it’s a one step process or if we’re going through it two or three times to sort of grind down and what we’re going to do.
Chris Lichtenheldt: Okay, all right. That’s it from me. Thanks a lot.
Phil Baker: Thanks Chris.
Operator: Next question comes from the line of John Bridges of JP Morgan. You may proceed.
John Bridges: Hi, good morning, Phil and everybody. Just wondered, you actually sold more silver than you produced this period. I just wondered where that being the – where the delta was and I wondered if you drained the swamp and left the pipeline of it lean for this quarter, how should we look at the size of the pipeline for this quarter?
Phil Baker: Well, I think you can look at our inventory levels and you can see that. And you’re absolutely right that we had larger inventory levels at year end than where we ended up in the – end of the first quarter. So, Jim, you want to add anything to that?
Jim Sabala: Yes, I just add that at Greens Creek, we ship stuffed in barges, so it doesn’t take much to swing that inventory positive or negative depending on the cutoff. During the first quarter, we shipped a lot of lead concentrate, which contains a lot of the silver. And so it’s just normal inventory flow that we’ll see quarter after quarter.
Phil Baker: With the Lucky Friday being down, we don’t have that study shipment that goes out every day. So it does make us, you will see more volatility I guess if you will quarter-to-quarter.
John Bridges: Yes, I know there’s a problem a year or so ago when freight rates got up very high that you were trying to optimize for shipping costs, but with freight rates much lower now than presumably even with the Greens Creek than the frequency of ships is probably higher?
Phil Baker: No because I mean, we have a long term shipping contract. I mean, I think we’re in year three or two of a five year shipping contract, so no it’s pretty normalized. It really gets driven by when we can get the ships, what sort of room we have in the surface facility, I think those two are the major....
Larry Radford: Yes, and production.
Phil Baker: Yes.
John Bridges: And you may have mentioned this earlier, I got on a bit late, but the – you were a bit light in the first quarter, but you believe you’re going to be able to catch up at Greens Creek’s later in the year. You still think that you can make the target number?
Phil Baker: Yes, look we think we can make approximately 7 million ounces that’s where we started the year we think we can do that. We got a lot of hard work to do and we’ll see where we end up and certainly at the end of the second quarter we’ll have a much better sense if there will be some shortfall, but at this point approximately 7 million ounces is where we are.
John Bridges: Okay great. Congratulations.
Phil Baker: Okay thanks, John.
Operator: Our next question comes from the line of Trevor Turnbull with Scotia Capital. You may proceed.
Trevor Turnbull: Yes, maybe just following up a little bit on John’s question at Greens Creek. I know you were looking to take the capacity up a bit more over the next couple of years. And correct me if I’m wrong, but I was thinking the target for throughput was something on the order like 20, I guess I mean metric but I was thinking 2,300 tons a day. What’s kind of your timetable to get that capacity throughput up at Greens Creek?
Phil Baker: Yes, we’re still working to get there and that’s ultimately where we’d like to be and I’ll let Larry answer the question, but it’s – it will take us certainly the better part this year to reach that the level on a consistent day in day out basis.
Larry Radford: Yes, it’s well said. We’re currently running about 2,100 and 2,200 tons per day. So, we are not far away. As Phil mentioned, getting the consistency is really the key for us.
Trevor Turnbull: Okay. And also kind of with respect to just to the day-to-day and the rest of the year you’ve had some higher grades than kind of the new average I think last year Q1 looks a bit higher than the 2011 numbers. Should we consider Q1 grades to be fairly typical of what you’ll expect this year or is there an upward or downward trend expected for the remainder of the year?
Phil Baker: Larry, I don’t recall. What...
Larry Radford: Yes, I have it here. The silver grades are on a slight upward trend throughout the rest of this year. And last year there was some – the ore body (inaudible) amorphous ore body, it’s not a tabular ore body and we did have some pleasant surprises towards the end of the year, some high-grades that the actual ore body was larger than we thought it was and richer than we thought it was. Obviously, we can’t count on that, but there is a slight upward tick looking through the balance of the year.
Phil Baker: The other thing that happens is we invariably because of the ore body is kind of – like an amoeba. It is a blob of mineralization that doesn’t have very defined boundaries that we almost always mine outside the resource boundary. And we don’t know what the grade that that will have. Sometimes, it’s been higher and – yes, the reserve boundary, thank you. Sometimes, it’s been higher and – but could be lower and so that will certainly impact where the grades will end up being and we won’t leave that material behind if we – we have good economic material. We’ll take it even if it is lower grade.
Trevor Turnbull: Right. And can you remind me, is there a correlation higher silver grades with higher base metal or is it inverse or there is no relation?
Dean McDonald: In general, Trevor, you’ll see higher precious metal grades where you have lower sulfides, but it’s not a consistent relationship. There are clearly are ore bodies like 200 South that are low base metals, very high precious metals and we probably will see that become a larger part of the mine plan, but that’s countered by other zones.
Trevor Turnbull: Okay.
Dean McDonald: So, it’s – yes. There really isn’t a consistency that we could say.
Trevor Turnbull: Okay. Actually, while I’ve got to you, Dean, can you remind me again at San Sebastian and in San Juan, when was the timing on the next events on the studies that you’ve got going on there?
Dean McDonald: Okay. With – as we said earlier with the San Sebastian project, with the Hugh Zone, we’re looking at third quarter for economic analysis to be released. In the mean time, we’re certainly doing a lot of work on the Andrea to try and catch up with the Hugh Zone, which is a more advance project. And then with the Star and we’ve referred to it in the past as the upper country, which is above the current water level, we would expect in the second quarter...
Phil Baker: Third quarter.
Dean McDonald: Third quarter, sorry.
Phil Baker: It’s internally second quarter. External third.
Dean McDonald: Yes, we’ll have that information out. And that’s really looking at the mineability of the Star and the Noonday.
Trevor Turnbull: And that’s like a PEA as well?
Dean McDonald: That will be.
Phil Baker: Yes. That’s right.
Trevor Turnbull: Okay. And you mentioned something to do with the Equity, now is that Q2?
Dean McDonald: Well the Equity all we’re doing is just continue drilling there.
Trevor Turnbull: Okay, okay. And then if I can change gears one last time, one last question. With the rate that you’re kind of working on the shaft, when is your timing to get down towards the 4,900, is that something you would expect to be...?
Phil Baker: Yes. We have slide, Trevor, there is a slide that shows the timing of everything on the shaft with slide number was that...
Trevor Turnbull: Sorry, slide 19 it looks like.
Phil Baker: Yes.
Trevor Turnbull: Okay. So, by end of August you were saying you’d be complete with the 4,900?
Phil Baker: That’s correct.
Trevor Turnbull: Okay. Great. That’s what I needed. Thanks, Phil,
Phil Baker: You’re Welcome.
Operator: Our next question comes from the line of David Bond with Metals Week. You may proceed.
David Bond: Good morning, gentlemen.
Phil Baker: Hi, David.
David Bond: Hi. Couple of quick questions. Why is your stock price and PE ratios so out of whack? And secondly, have you looked into the possibility of any concentrated short interest in your shares ala of Seabridge or Silvercorp?
Phil Baker: Thanks David for the questions. Look, our price earnings is out of whack as we’re undervalued and that’s reflected in the – our belief and that is reflected in the fact that were – we have instituted this repurchase program. So, with respect to short interest, the best thing to combat that is getting the share price to move up and so we are doing things that we think add value and will cause that to happen.
David Bond: All right. Thank you.
Phil Baker: Thanks David.
Operator: Our next question comes from the line of Mike Curran with RBC. You may proceed.
Mike Curran: Good afternoon, gentlemen. I just had a couple of questions on the rehab work at Lucky Friday, I’m just trying to get my sort of a mental picture what’s going on there. On the I guess you said you’re a little ahead of schedule on the scaling, just two questions really, first off is it because the – the thickness of the stuff you’re scaling is thinner than you expected or is it coming off the wall easier than you expected, do you have any comments on that?
Phil Baker: I guess, I would characterize it as our – we were estimating the work that we needed to do and we’re in the process of doing the work figured out ways to do things faster than what we had anticipated, number one. Number two, we’ve not yet really gotten to the heavy cementitious material and so we still have a bit of unknown in front of us. So we – while we are ahead of schedule, we are not projecting that we will continue to outpace this schedule that we have. Larry, do you want to add anything?
Larry Radford: Yes the – as Phil said, we have a fair idea of what’s ahead of us as we did a detailed inspection. There are still some unknowns and risks and we know that. On the front end of the project, the hardest part and the most time-consuming part was getting the surplus infrastructure setup that’s the winches, the Galloway. All of this stuff had to come either be fabricated or come down from Canada. So that was quite time-consuming and as we expected and credit to the team the work was done slightly ahead of schedule and safely.
Mike Curran: Just a couple of more questions, just to kind of have a – to visualize what goes on that process I mean, is it a low tech thing or is it two guys with a chisels banging away on the walls or if you are kind of...?
Phil Baker: It’s pretty low tech.
Mike Curran: And does the stuff fall on to the Galloway or fall all the way down the...?
Phil Baker: No, no, now they capture the material.
Mike Curran: Okay. Got you.
Phil Baker: So, I mean it’s – Larry, you want to add.
Larry Radford: Well it isn’t – I guess it can be characterized as low-tech, although the winches are all PLC controlled and there is an element of high-tech in the work. And I would say probably what has changed much a great deal through the years in this sort of work is that the safety controls that are in place are quite sophisticated.
Mike Curran: Well, that’s great. Thanks for the color.
Larry Radford: Okay, sure.
Phil Baker: Sure, Mike.
Operator: Our next question comes from the line of Jorge Beristain with Deutsche Bank. You may proceed.
Jorge Beristain: Hi good morning, Phil, it’s Jorge Beristain from Deutsche Bank.
Phil Baker: Hi, Jorge.
Jorge Beristain: My question was more sort of a big picture and strategic, you have three potential growth projects ahead of you. You said earlier in your comments that one of the biggest advantages Hecla has is being in safety restrictions in North America. Have you given any kind of thought to the preference and the staggering of those projects as if you move towards development in terms of by region where your preference would be, is it more to develop something in your hometown in Idaho or is it – are you pushing more to go abroad into Mexico to diversify the company, for example?
Phil Baker: Actually it becomes a question of what can be brought into production fastest and generates the most return and have the largest impact on our valuation and – so we’re open to anyone of the three leading the way or to have maybe more than one at a time. Certainly the Star is one that has the least amount of impediments, but it’s also the smallest of the three. So, but, again, it’s going to be driven by to the extent they’re all ready to go, it’ll be driven by returns.
Jorge Beristain: But the reason I’m asking is that there have been some periods of yours in the past that it perhaps bitten off more than they can chew by trying to develop two or three mines simultaneously or perhaps changing their core geographic focus in going to another country and that’s gotten them into trouble. So I’m just wondering if besides just the straight financial returns if you’re also looking at qualitative factors to try to rank order the projects.
Phil Baker: Yes, there certainly are qualitative factors but think about where we are with the Star, it’s in our backyard, so that makes that easy to do. The other two locations, San Sebastian in Mexico, we have operated there for I mean we’ve actually physically been in that location for 12 years and operated there for about five of those 12. And so we feel very comfortable with making an investment there. And then the San Juan is in Creede, Colorado, which is a mining district and we feel comfortable there. Now, having said all of that, I think the biggest driver is going to be when we can get the permits, when we can get the work done in order to advance these projects. I think those were a bigger driver for us than where they’re located.
Jorge Beristain: Okay. And my other question was given that you have net cash right now and you obviously have this sliver-linked dividend policy, but unfortunately we’ve seen in the gold sector that other peers have had linked to dividend to gold and has gold has flat lined that’s kind of taken a little bit of the wind out of their sails. So, my question is are you willing to take more of a leading role in perhaps instituting a dividend policy that is not as dependent on the vagaries of the metal price? And also given that as you said you’re undervalued it doesn’t seem that the market is paying up a lot for growth in the mining sector and perhaps taking a differentiated approach of being the highest dividend payer in the sector might jumpstart your equity. So, I was just wondering if you had any thoughts to how aggressive your payback could get out on the dividend and if you would be willing to be reconstitute that to be more of a fixed payment or at least fixed as long as metal prices are high that is and get it away from this kind of linking to the silver price?
Phil Baker: Yes, Jorge, I guess, first of all, I think we already are the highest paying silver stock in this space, if not we’re close to it. Certainly, we have the best political jurisdiction and dividend combination. With respect to changing the policy, look we have only been at this now for three quarters. So, let’s give it some time and see how it works and the board is very open minded. We have now had not just silver-linked dividend, but we now had this regular type of dividend. This will be the second time we’ve had that. So it’s – we are evolving how we deliver value to shareholders and with the stock buyback it’s a third way that we’re doing that.
Jorge Beristain: Okay. Thank you.
Phil Baker: Thanks, Jorge.
Operator: Our next question comes from the line of Steve Butler with Canaccord. You may proceed.
Steve Butler: Well, good morning guys – or afternoon actually.
Phil Baker: Hi, Steve.
Steve Butler: So – hey. Your mining costs and milling cost per ton are a little higher in the quarter than we would have expected, but maybe that’s probably throughput, but you also referred to higher maintenance cost. Could you probably give us a sense of cost per ton that was extra in the quarter for maintenance or maybe say what you expect for normalized run rate on mining and milling cost at Greens Creek going forward?
Phil Baker: Sure. We’ve actually done quite a bit of analysis on that, Larry, do you want to talk to that?
Larry Radford: Yes, the mining cost themselves or the maintenance costs I should say were principally attributed to a bit of change in philosophy that rather than repair every small part on a machine we would swing entire components in and out in an effort to improve our up time of the machines and we’re starting to see the benefit of that now.
Steve Butler: So, was that, I mean was that an extra several dollars per ton...?
Phil Baker: Well it was about $1 million it was...
Steve Butler: Okay.
Phil Baker: That we spent extra this year than what we had last year.
Steve Butler: Okay in the quarter. Okay.
Phil Baker: Yes.
Steve Butler: And milling costs, they have been running at around probably – probably not too far from this range of 30s, is that a comfortable range?
Jim Sabala: Yes, the milling costs were basically proportional to tonnage.
Steve Butler: Right, right, okay. That’s it thanks, guys. Oh, the other one, sorry on Andrea Vein, Dean, will this be a – will you have the resource calculation here or would you at the time of your PEA for the hue or will you defer that till the end of the year? Thanks.
Dean McDonald: Well, yes, Steve, we released the resource on the Andrea earlier this year. The likelihood is that at the end of next year we’ll have a resource – an updated resource....
Phil Baker: End of this year.
Dean McDonald: End of this year on the Andrea.
Steve Butler: Okay. Sorry remind us, Dean, of that, what’s the size of the Andrea resource?
Dean McDonald: The Andrea is at – just checking it here.
Steve Butler: We can look it up too.
Dean McDonald: It’s – sorry, it’s 6.8 million ounces of silver, 130,000 ounces gold. And....
Steve Butler: Okay. Dean McDonald:.2.1 million tons.
Steve Butler: Okay. Thanks very much.
Phil Baker: Thanks, Steve.
Operator: Our next question comes from the line of Bill Fernandez. You may proceed.
Bill Fernandez: Hi, I’m Bill Fernandez, I’m a private investor, I don’t have too many shares. I noticed that there is not a mention of a potential for the class action lawsuit or I don’t see anything in the statements regarding setting up liabilities or anything like that. Could you update us a little bit on the status of that and what Hecla might feel about it?
Phil Baker: Yes, thanks, Bill, I’ll do that. No, there is no update on the class action lawsuit. They have made their filings and there’s now the plaintiffs are determining who is going to be the lead plaintiff, I don’t think that has been resolved and so once that’s resolved and presumably there’ll be the next step taken. We have filed an answer and but at this point it’s all very procedural, there’s no – nothing substantive and we do not see a need to accrue anything associated with it.
Bill Fernandez: Okay. Could I ask a favor because it keeps me from wanting to buy more Hecla, I want to buy more Hecla- And could there be updates periodically, which from Hecla’s point of view regarding the status of it as much as you might be able to say?
Phil Baker: We will when it’s appropriate we’ll either file an 8-K or file in our Q’s or K’s. If you don’t hear anything there isn’t anything we’ve got to say.
Bill Fernandez: Okay.
Phil Baker: All right.
Bill Fernandez: I appreciate that.
Phil Baker: Sure.
Operator: (Operator Instructions). And our last question comes from the line of Joseph Reagor with Global Hunter Securities. You may proceed.
Joseph Reagor: Hi, guys. I just had two housekeeping type questions. The first one is the way you guys report your cash cost, you report one that’s like a byproduct credit version, and then you have the second thing which is like the total all in cash cost per ounce produced. I’m having a little trouble getting from one to the other just by including byproduct credits taking them out. Is there anything else included in your guys’ total cash cost?
Phil Baker: Well, I’ll let Jim answer, but what we do is we follow the Silver Institute standard for reporting cost, our cash cost and total cost and we only give really two categories of cost per ounce, cash and total and the difference is only going to be the – some non-cash items that in the calculation and we do provide a reconciliation of that calculation with every Q and K and it’s attached to this press release. Jim?
Jim Sabala: No, the only thing I have is some mining companies do have a variety of ways that they calculate cash cost and you’ll see a number of statistics on their document. Phil is very correct, we only provide one which is the methodology that’s been approved by the industry for a couple of decades now. And so we have two statistics that one and then the full cost with depreciation. And I’d refer you to the REG G reconciliation, which goes through that with great particularity that’s attached to the press release.
Phil Baker: That’s on page 12 of the press release Joe.
Joseph Reagor: Okay, that will be helpful with that. And my other question was just when I was reading through your Annual in regards to litigation thing, I know there is a class action lawsuit and then it did specify about how there is potential for lawsuits regarding like the shutdown of Lucky Friday and it doesn’t go into detail. Is that just a standard disclaimer type item or is there actually some pending litigation you guys have not deemed to be material to disclose fully yet?
Phil Baker: No, we’ve disclosed whatever is material litigation (inaudible) I mean there is certainly administrative matters with the union where the union makes a claim for additional compensation, but – so, I don’t know if that’s what you’re referring to –
Joseph Reagor: No, that probably was just a standard disclaimer, just nothing specific that you guys can think of?
Phil Baker: Yes, I mean if you look there is a class action lawsuit and there is the derivate lawsuit is that the description of it. So there are these two different types of lawsuits and I think there has been nine cases and I don’t remember how many are in each and those will get consolidated, the two types of cases will get consolidated and that will happen over the course of the comings months, I guess.
Joseph Reagor: Okay, that’s fine then. Thank you.
Phil Baker: Thank you, Joe.
Phil Baker: All right, well I think that’s all the questions we have. Thanks for joining us on the call. And if you have any further ones, please give us a call. Thanks.
Operator: Ladies and gentlemen that concludes today’s conference. Thank you so much for your participation. You may now disconnect. Have a great day.